Operator: Good day, ladies and gentlemen, and welcome to the CUI Global 2018 Fourth Quarter and Full Year Results Conference Call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will have a question-and-session and instructions will be given at that time. [Operator Instructions] As a reminder, today's conference will be recorded for replay purposes. It is now my pleasure to turn the conference over to your host, Sanjay Hurry, Investor Relations. Please go ahead.
Sanjay Hurry: Thank you, Bailey [ph]. Good afternoon everyone and welcome to CUI Global's fourth quarter and full year 2018 results conference call. A copy of the company's earnings press release and accompanying PowerPoint presentation to this call are available for download on the Events & Presentations page of the Investor Relations section of the CUI Global website. With us on the call today are William Clough, President and Chief Executive Officer; and Daniel Ford, Chief Financial Officer. The purpose of today's call is to review the company's financial results for the quarter and for the full year, and to provide you with management's perspective on fiscal year 2019. Following management's remarks, the call will be opened to question and answers. A telephonic replay of this call will be available until April 3. You may also access the archived webcast and accompanying PowerPoint at any time on the Investor Relations page. As a reminder, this call will contain certain forward-looking statements made within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities and Exchange Act of 1934 as amended. Such statements are subject to risks and uncertainties that could cause actual results to vary materially from those projected in the forward-looking statements. The Company may experience significant fluctuations in future operating results due to a number of economic, competitive and other factors including, among other things, it's reliance on third-party manufacturers and suppliers, government agency budgetary and political constraints, new or increased competition, changes in market demand and the performance or liability of it's products. These factors and others could cause operating results to vary significantly from those in prior periods and to those projected in forward-looking statements. Additional information with respect to these and other factors which could materially affect the company and it's operations are included in certain forms the company has filed with the Securities and Exchange Commission. With that said, I'd like to hand the call over to William Clough, Chief Executive Officer. Good afternoon, Bill.
William Clough: Thank you, Sanjay and thank you everyone for joining us on our call this afternoon. As you've seen from our earnings press release, there is a lot of accounting noise in our fourth quarter financial results. Dan will take you through a review our GAAP results but I want to begin today by putting aside the noise to share with you what I see. I see a company executing financially across each of his business segments. We've turned in an outstanding performance in the fourth quarter. Revenues were up 28% year-over-year and beat consensus estimates. Our gross profit excluding the non-cash charges flown through cost of revenues was up 45% with gross margin up 430 basis points. Adjusted EBITDA improved incrementally. Power and Electromechanical segment revenue was up 23% year-over-year or about 4x the global industry average for the electronics industry. Energy segment revenues were up 42% year-over-year and up 44% sequentially as backlog converted the revenue with customers delivery schedules time to take advantage of the UK's domestic renewable heat incentives or RHI for biomethane project initiatives that passed in late May. Our ability to offer the unique GasPT technology and a turnkey solution that engineers our energy products into our integration solutions is a substantial competitive advantage in the marketplace, and one that enables us to deliver significant value for the customer and the growing market for biomethane. I'm similarly pleased with our full year performance. Consolidated revenues were up 16% and here to were above consensus estimates. I mean, year-over-year performance was led by our Power and Electromechanical segment. At year-end, Power and Electromechanical segment, revenue increased 19% and was driven by introducing new products including ICE products and strong performance by our distribution partners. At year-end, Power and Electromechanical segment unaudited backlog stood at $21.8 million, an increase of 8% year-over-year. The segment was very profitable over and above the non-cash charges that flow through cost of revenues and the royalty we've made to VPS in this year. Recall that under our prior games [ph] with VPS may incur royalty expenses on sales of our ICE products with royalty rate highest on the first $1.4 million of ICE product revenues. In our energy segment, it was a tale of two halves with revenues in the second half of the year up about 63% over the first half following the passage of the RHI; such is the impact of UK's biomethane infrastructure buildout that our largest biomethane customer has indicated to us that it is moving forward with additional projects, even without having first secured the RHI subsidy, and their preferred vendor is Orbital UK. And our new Orbital facility in Houston, it was a year of growth across one [ph] in terms of revenue, backlog and pipeline of opportunities; at year-end, energy segment unaudited backlog stood at $15.7 million, an increase of 25% year-over-year. Now, let me touch on the non-cash charges we took in the fourth quarter and the year. It won't surprise anyone to learn that these charges relate to the UK public utility sector which has been slowed recovery from the economic dislocation triggered by the UK's decision to leave the EU, Brexit; as well as the delay in our Italian order. For it's part, Brexit hasn't allowed UK operators to invest in their infrastructure as they normally would. However, our customers in Italy and UK tell us that they are all still onboard with our technology, still committed to our projects and still moving forward with us. During 2018, we focused on broadening our opportunity set in our two business segments; in our Power and Electromechanical segment we introduced almost 1,300 new products including ICE Block and ICE Switch for which we received an initial order. Several of our innovative products and technologies have been awarded or shortlisted for some very prestigious industry awards. We are known for delivering next-generation technologies and products, because of the recently enacted tariffs on products imported from China, our costs have increased and we have raised prices. I'm pleased to report, so far our customers have demonstrated pricing resilience. We added master electronics to our rooster of distribution partners to expand our customer base for our world-class products and solutions. We also amended and strengthened our partnership with VPS that cements our positions as the exclusive provider of ICE technology, hardware, when aware us of software to find power solutions is just taking on. A proof-of-concept initiated at SAPs COIL Lab serves as a confirmation by a market leader of the ICE platform's innovative approach to data center power utilization. In our energy segment, we made the strategic decision to go global. We have great technology and to fully capitalize on this technology we looked for a partner with a business development and sales coverage to bring our gas technology solutions into more energy markets and in front of more decision-makers. The optimal partner for us is Samson AG. Samson's reputation in the energy industry is pureness [ph] and our partnership is born of a shared belief that innovation and intelligence grounded in disruptive technologies are imperatives for energy operators today as gas becomes an increasingly important component of the global energy mix. Samson sales force across key geographies such as China, Russia and others is now upto speed on our GasPT. We have conducted multiple joint presentations at industry events as part of our business development strategy to drive awareness and adoption of the GasPT globally. I cannot be more pleased with how this partnership has proceeded. I'll have more to say on this relationship as well after Dan's review. And finally, in the UK, securing Ofgem certification of the GasPT in 2018 not only opened the entire market to our solution for biomethane, low pressure optics and high pressure intake applications but also opened the UK's future billing methodology or FBM project to us and now represents our largest opportunity for the energy segment. In UK, FBM would require a smaller form factor and less expensive GasPT with potential unit sales of between 5,000 and 45,000 units. Formal trials for the FPM solution were schedule to begin before year-end with a go-live for testing in 2019 or early 2020. Due to a sensor issue not related to us, trials have been delayed by about one year as the project addresses required rework; this then means that Ofgem and the UK government are now planning to rollout FBM sometime later in 2020. While disappointed by delay, we remain committed to support this long-term opportunity. In short, we are not standing still while we wait for work on our entire contract to resume. On that note, we were recently informed by our Chinese distributor that the Italian energy regulator has published an official report stating that a quality analyzers mandated on all optics of a certain size or larger for the new energy period 2020 to 2025. There is only one gas analyzer specs to the customers' requirements and that is our GasPT. So while this isn't the step forward we are all waiting for, the report tells us that the GasPT as a component of the energy regulators new tariff scheme and reinforces our belief that fulfillment of the contract isn't a matter of if but when. Now let me turn the call over to Dan who will take you through his review of our financials. Dan?
Daniel Ford: Thank you, Bill. Before I review our 2018 fourth quarter and full year results, let me remind you that CUI Global has adopted the new revenue accounting standard known as ASC Topic 606 for fiscal year 2018. All financials presented today, as well as those found in the PowerPoint presentation that accompanies this call are based on these new revenue rules, unless otherwise stated. As such, our financial results for the fourth quarter are not directly comparable to those of the year-ago period that we reported under the old revenue rules. To give you an apples-to-apples comparison, we are also providing both, our fourth quarter and full year results for 2018 as reported under the old revenue rules compared to 2017. You can find this table on Slide 4 in the PowerPoint presentation. Also note 2 of our consolidated financial statements on our Form 10-K for the year ended December 31, 2018 gives you a detailed explanation of revenue recognition under both, the old and new rules and it's cumulative effect on our results. Starting with our consolidated results for the fourth quarter, total revenue was $27 million, an increase of 28% from $21.1 million for the fourth quarter of 2017. The increase is attributable to revenue, increases in both, the Power and Electromechanical and Energy segments due to the timing of customer project delivery schedules and higher sales through our distribution customers and the Power and Electromechanical segment coupled with improved integration revenue in the energy segment. Improvements in energy segment were despite the continued lower than forecasted sales of GasPT's related to shipment delays on our significant product generally. Consolidation gross profit was essentially flat at $6.4 million, although gross profit margin declined at 23.9% from 30.9% last year. The decrease in gross profit margin reflects a higher contribution of lower margin revenue in the energy segment partially offset by improved margins in the Power and Electromechanical segment. Also contributing to the lower margin for the fourth quarter, we recorded a $1.5 million write-down of deposits and other assets and $1.4 million increase to inventory reserves, both of which reflects lower than anticipated revenue growth in our Orbital UK subsidiary. Exclusive of those two items, the gross profit margin for the fourth quarter was $9.3 million or 35%. Consolidation selling, general and administrative expenses for the fourth quarter were $9.4 million, an increase of $1 million or 11.3% compared to the prior year Q4 reflecting higher revenues in both segments. Low SG&A expenses increased in absolute dollar terms, as a percentage of revenue, SG&A declined to 35% of revenue from 40% in the year-ago period. Adjusted EBITDA loss for the fourth quarter of $2.1 million improved compared to a loss of $2.3 million in the year-ago period. For the fourth quarter we recorded a $3.1 million goodwill impairment charge associated with our overall UK subsidiary reflecting slower than anticipated revenue growth and delays associated with existing customer contracts that have not yet resumed in our energy segment. We test for goodwill impairments in second quarter of each your and when events or circumstances indicate that the carrying amount of goodwill exceeded it's fair value and may not be recoverable. With the impairment of goodwill recorded in the fourth quarter of 2018 we have fully written-off the goodwill related to Orbital UK. Including the goodwill impairment charges, the write-down deposits and other assets, and increased inventory reserve, general loss for the quarter was $7.8 million or $0.27 per share compared to a net loss of $5.3 million or $0.20 per share for the same period last year. Our adjusted net loss which excludes goodwill impairment charges and the write-down of our deposits and other assets but not the inventory reserve adjustment was a loss of $2.8 million for the quarter. The full calculation of our adjusted net loss is included with our earnings release. Additionally in accordance with U.S. GAAP for sale leaseback transactions and effect for fiscal year 2018, the company did not recognize the $2.9 million gain on the sale of our Oregon headquarters facility during the fourth quarter. Turning to our segment revenue and gross margin, I'll start with our Power and Electromechanical segment. Revenues for the quarter were $19.5 million compared to $15.9 million last year, an increase of 23%. This increase reflects strengthening the business revenue typically trials in Q4 and peaks in Q2 and Q3. And this fourth quarter we also saw a $0.7 million increased revenues from the impact of tariffs on the import [ph] of electronic components from China as the cost of tariffs were passed on to our customers through higher prices which offset the related cost of revenues increased. Gross profit for the fourth quarter was $6.9 million or 36% and increase in gross profit percentage on higher revenues compared to 33% gross profit percentage in the fourth quarter of 2017 reflecting an improved product mix. Our energy segment produced revenues of $7.4 million and well above last year when we reported revenue of $5.2 million. As I noted earlier, the year-over-year variance reflects the tiny investment project schedules. UK market was generally slower than projected in 2018 due to lower than forecasted sales on higher margin GasPTs. Revenues for the quarter were almost entirely weighted to our lower margin integration projects including Biomethane-to-grid awards secured over the course of the year. As mentioned previously, we recorded a $1.5 million write-down of deposits and other assets and a $1.4 million increased inventory reserves, both of which reflects lower than anticipated revenue growth and our overall UK subsidiary. Exclusive of those two items, the gross profit margin for the fourth quarter was $2.4 million or 33%. As a result of lower margin integration projects on these items, gross margin for the quarter was negative 6.6% compared with 23.3% last year. Exclusive of the impairments, deposits and other assets, and large increase in the inventory reserve, the gross margin for the quarter would have been 32.6%. As a reminder, our energy segment experiences improved margins when it sells more of it's leading technology solutions putting GasPT and VE sampling systems, and with more throughput of integration projects in our facilities resulting in operational efficiencies. For the year, consolidated revenue increased $13.5 million to $96.8 million from $83.3 million. The improvement in total revenue was driven almost exclusively by our Power and Electromechanical segment that benefited from higher sales through distribution customers and the adoption of topic 606. Energy segments increased slightly for the reasons I noted related to this segments fourth quarter 2018 performance. Consolidated gross profit increase for the year by $1 million to $28.9 million compared to $27.9 million at prior year period. Although consolidated gross profit margin declined to 29.9% gross profit margin compared to 33.5% over the same time period due to a higher contribution of lower margin revenue from our energy segment and the $2.9 million in total write-downs included in cost of revenue and the inventory reserve which I discussed in the fourth quarter review. Also note, that we had approximately $1.3 million of VPS sales in 2018 that were subject to 100% royalty under the terms of the royalty agreement without which the gross margin would have considerably improved. As discussed on previous conference calls, the first $1.4 million of sales were at 100% license rate after which the rate would be normalized. Consolidated SG&A expenses for the year were $36.3 million, a $2.4 million increase primarily due to higher selling expenses on the higher sales within both segments; higher professional fees in energy segment, higher SG&A expense with the new Houston facility and higher marketing expenses. While SG&A expenses increased in absolute dollar terms, as a percentage of revenue SG&A decreased 3 percentage of revenue for the year to 38%. EBITDA loss for the year was $14 million compared to $10.8 million in the prior year period. Adjusted EBITDA loss for the year was $8 million compared to $7.4 million in the prior period. During 2018, we recorded a total of $4.3 million of impairment to goodwill in addition to the $1.5 million impairment to deposits and other assets at Orbital UK. Including these impairment charges, net loss for the year was $17.3 million or $0.61 per share compared to net loss of $12.6 million or $0.56 per share in the prior year. Consolidated backlog increased to $37.5 million at year-end compared to $32.8 million at December 31, 2017, an increase of $4.7 million. Backlog for the Power and Electromechanical segment was $21.8 million, representing a slight increase compared to $20.2 million at December 31, 2017, and attributable to continued strong ordering performance and throughout within our channels. The Energy segment backlog at year-end increased $3.1 million to $15.7 million compared to $12.6 million at December 31, 2017 reflecting increases in integration backlog in both, the UK and North America. In terms of our balance sheet, we entered the quarter with cash, cash equivalents and restricted cash of $4.5 million; this compares to $12.6 million as of December 31, 2017. Supplementing our cash balances, we completed the sale and leaseback of our two Austin [ph] facility in December which generated net proceeds of $4.2 million after expenses, the payout for the original payable and related interest rate swap derivative. To further supplement our cash balances, with the filing of our 10-K today we are providing details of a firmed commitment from Bank of America Merrill Lynch on a revolving line of credit of upto $10 million. Securing this line of credit which is expected to close by April 30, further demonstrates our commitment to securing non-dilutive sources of capital, the new credit facility will replace our existing U.S. based revolver facility and UK based overdrive facility with more favorable terms and increased capacity. Finally, we learn out this morning we have also secured an approximate 20% equity interest in Virtual Power Systems which Bill will discuss further in his remarks. In exchange for the equity interest, CUI will invest another $345,000 into VPS, convert $685,000 of convertible notes receivable to equity, contribute ICE related inventory-like equipment certifications, intellectual property and other related assets into VPS. In conjunction with the equity position, CUI will receive a board seat and place an observational non-boarding advisor to the VPS board. After closing this transaction, we expect to record results of VPS using the equity method of accounting. That concludes my prepared remarks. I will now turn the call back to Bill.
William Clough: Thank you, Dan. Looking ahead for the balance of 2019, we remain focused on developing energy segment opportunities while sustaining our Power and Electromechanical segment performance. By developing business with new customers, expanding existing customer relationships and introducing new products we expect to sustain the Power and Electromechanical segment's revenue trajectory. Innovation is also a core tenant of this segment and our new equity interest in VPS is a national extension and our strong working partnership with VPS and it's management. Since the formalization of our amendment agreement last year, we have come to appreciate the enormous untapped market potential of VPS software to find power platform when applied to other areas in a data center, compute, storage, networking resources enabling the next-generation of software to find data centers. As Dan explained, we have agreed to terms with VPS for approximately 20% equity interest. In fact, while we remain the exclusive manufacturer of the ICE Switch and ICE Block for VPS, we now have the ability to participate more broadly through our equity position in VPS on it's far reaching applications of software defined power and thus participate in VPS's future profitability. VPS envisions that 2019 will be the year that proof-of-concept testing at several large customers completes and will turn into orders. In our Energy segment, the UK public utility sector spending frees has shown signs of falling [ph]. Last fall we signed a 2-year $1.5 million services contract with a major gas transmission company. Just prior to that we signed a framework agreement with Cadent Gas, the UK's largest gas distribution network to bring biomethane onto it's distribution network, an opportunity catalyzed both, by the RHI and expectations for increased CapEx spending. As the pace of moving the global energy mix towards less carbon intensive sources quickens, we have positioned our gas technology solutions to take advantage of the shift towards natural gas and renewable natural gas's or RNGs such as biomethane and we are taking place on the international biomethane stage. We were recently invited to attend a close door event of stakeholders with major gas networks and national labs with the intent of setting national and international standards for measurement requirements for biomethane use. From that event we developed sales leads and are registering Orbital as an established provider of biomethane degree of solutions in Italy, Spain and France to follow through on those leads. We are also seeing interest from regulators in California which despite the U.S. [indiscernible] has committed to meet the accords [ph] call for 25% reduction in greenhouse gas emissions by 2025. California will set increased production and usage of RNG through tax credits. To that end the state is preparing a bakeout [ph] from which they will select preferred vendors. As in other markets, we have a significant competitive advantage because we can offer an integrated turnkey solution that includes the GasPT. No one else can meet our performance metrics at our price point. Staying in the U.S. and turning to our new Orbital facility in Houston, this facility should build on our 2018 revenue and approach breakeven in 2019. This facility is working out several large projects for Fortune 100 energy companies throughout the U.S. and is seeing a pipeline that is growing both in volume and average contract size. Given it's proximity to the energy epicenter of North America, our Houston facility will be a key component in our North America strategy in 2019 and beyond. Our efforts extend also north of the border of Canada where four of our GasPT's have been undergoing field trials with a major trench mission company and a utility company to ensure to buy functionality in the depths of winter which is a key consideration for Canadian operators. The utility company is now in a path to deploying additional units sometime mid-year. Data collected from the utilities units will support our certification process with measurement to Canada. Certification is expected in the very near future. Sustained with GasPT, the offered process controlled applications, we're now one technical meeting away from securing certification from our turbine manufacturer partner. No date is set yet for the technical meeting. With this certification, our GasPT will be included on the manufacturer's build materials for new turbines, thereby giving us a path forward to a broader retrofit opportunity. To that end we now have a line of site into a limited deployment of GasPTs on the turbines and probably large Midwest utility company. We are bearing the fruits of our joint marketing efforts with Samson. Three industrial customers in Western Europe have expressed a very strong interest in starting field trials for the GasPTi [ph]. Additional sales enquiries from Germany, China, Singapore and Columbia are also being pursued. We're especially pleased with inroads made in China and now in South America. We will be rolling out additional technical through Samson in South America to support that untapped geography as well as in South Korea. The pipeline of opportunity is growing and we are very pleased with this partnership. While we execute on opportunities before us, we are also cashing a wide net to create new markets for our gas technology solutions. We are planning to publish a whitepaper in collaboration with a global energy operator soon that demonstrates the versatile utility of our GasPT and has opened a new market for us. To summarize this new opportunity for you, our engineers have collaborated with DNV GL from normally GasPT to apply a new algorithm to GasPT that makes the analyzer broadly applicable to the marine market. The marine tanker industry is switching from oil derivatives to LNG as a fuel for tankers, specifically in the case of LNG tankers, boil-off gas is used to fuel their engines; this makes GasPT with new algorithm a natural fit for the retrofit market because CV content of the boil-off gas that is used for propulsion has to meet a specific range otherwise that gas can destroy these large complex turbine engines. As you will recall, we already moved into the marine market with Christ [ph] Group. However, adoption of the DNV GL algorithm makes our device even more broadly applicable across the marine market. As you can see, we are moving forward on our path to sustain revenue growth and profitability in our Power and Electromechanical business and on multiple path for revenue optionality and our energy segment that move us closer to breakeven on a consolidated basis without relying on any single customer or project. At the same time we are strengthening our balance sheet with non-dilutive capital by selling out to all of our facility and we have secured a firm commitment for a new large line of credit from Bank of America. We remain committed to realizing the full extent of the opportunities afforded us by our technologies across our two business segments. Thank you for your time and attention today. Operator, please open the call to questions.
Operator: [Operator Instructions] Our first question comes from Eric Stine of Craig-Hallum.
Eric Stine: Maybe on the turbine opportunity; just -- I know that the process with this potential partner has taken quite a while. Can you just go a little more and dive some [ph], I missed the details on what the next steps are, and maybe confidence that you have that it actually is a near-term event and not something that drifts to the right?
William Clough: Yes, obviously dealing with large customer like this you can never be sure of what's going on but they did have a very long-term test procedure as you know. From that test procedure we had a problem because the gas has been provided through the device. We have now had technical meetings, several, to resolve that issue. It's our understanding that now that issue has been resolved, we will be meeting with them in near-term to finalize certification. We -- it's our understanding they do not have to continue anymore testing, that they simply have to agree that our solution and issuing our rows was what we have said it was. And again, we're very comfortable with what we've given to them and feel quite confident that this next meeting will result in moving forward. They have become very eager to move forward because of some issues they've had with their machines.
Eric Stine: Maybe just turning to Italy, you mentioned that [indiscernible] had published a report talking about 2020 to 2025. I mean does that -- I know you're not going to call and I wouldn't ask you to try to call timing of deployments but -- I mean, does that give you any insight into what the thought process is that maybe more optimism that it could start in 2019 or is it something where potentially -- you need to read this is that it is a 2020 event?
William Clough: No, I think the tariff scheme indicates that they will devices deployed across certain size optics in conjunction with that 2020 to 2025 tariff plan. The schematics were produced with that plan and on the schematics our analyzers could identify, so it is something where -- this doesn't tell us when they will restart the program but it certainly says that their plan from 2020 to 2025 includes monitoring by our machines. So while we haven't had any indications when they will start deployment, we certainly feel this makes it again not a question of if, it's a question of when.
Eric Stine: And then last one for me; just to clarify SAP in the COIL Lab testing, is that still in process? I know previously you thought that be it 3-months to 6-months timeframe for that -- and then after that you had better clarity on what the overall opportunity is?
William Clough: Yes, it's still in process and again, that's -- with most customers of that size, it's really in their hands at this point. They seem to be happy with what's been happening so far, but again, we won't know when they are completed with that until they are ready to tell us that.
Operator: [Operator Instructions] Our next question comes from Rob Brown of Lake Street Capital.
Rob Brown: Just wanted to get a further color on the VPS deal. Does this mean the ICE Block as if -- if only I understand what the ICE Block revenue will do; would that still flow through your earnings and your P&L? And then, rest of the VPS activity will be an equity interest or just help me understand how that works?
William Clough: We will be the manufacturer for VPS for those technologies but they will recognize the lion share of revenue on that, we'll recognize more of a manufacturing type margin on that. What this is doing is it essentially is providing a whole lot of synergy from a marketing, engineering and sales standpoint. So go-to-market under one umbrella with VPS and with their software controlling it, not being in competitor from some of the other companies that they are working with licensing the technology into -- and really becoming a partnership. So what adjusts for us is they have a captive facility for manufacturing, it's going to give us improved efficiencies from operating costs and standpoint at our factory keeping the factory full. But our upside is on their success and we actually feel that through this equity interest now, we're not limited to just the success of the ICE [ph] whether we manufacture, but we -- our participant in VPS is overall success including on the subscription software that they have on the software find power front. So from that stand -- that's why we went with it. It's a synergistic opportunity for both companies to get to market faster and better and it outlines our goals together.
Rob Brown: And then on the future billing technology you [indiscernible] talking about planning shifts there; what sort of -- can you give some color on that and when do you expect revenue to fall?
William Clough: We still see some revenue this year, it's just that the full on testing won't begin until 2020. I mean, it's a sensor issue that they had that has nothing to do with us but because the sensor was not able to perform the way they wanted to, we had to redesign another sensor to put into it and that just simply delayed the project now. We'll still be rolling out the initial test units later this year, those are 44 units that are already prepared, ready to go, but I think it's just sets back the implementation of the project for about 12 months.
Rob Brown: And then the energy business; I think you talked about Q4 being a seasonal low period year or quarter. Do you expect that to continue to ramp from this kind of level in '19 or is there some shifting around you expect?
William Clough: No. We expect that to continue to ramp. The RHI is now in full swing. Again, as with any governmental entity in Europe and elsewhere, there is always going to be ups and downs with it but we have now a couple of larger clients, one in particular, who is beginning to move forward on projects even without the RHI subsidy. So we think that we'll see a continued growth in the energy sector. We're also seeing some nice growth in North America, the Houston facility has gotten some really nice contracts from some very large Fortune 100 energy companies, we expect to see that to continue as well.
Operator: Thank you, ladies and gentlemen. That does conclude our question-and-answer session for today. I would now like to turn the call back over to William Clough for any closing remarks.
William Clough: Thank you, operator. Thank you, as always everyone for joining us today. We will be speaking with you again next quarter and again, thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. And you may now disconnect. Everyone have a great day.